Operator: Good day, and welcome to the InterDigital Fourth Quarter 2019 Earnings Call. Today's conference is being recorded.At this time, I would like to turn the conference over to Patrick Van de Wille. Please go ahead, sir.
Patrick Van de Wille: Thank you, Todd. Good morning, everyone, and welcome to InterDigital's Fourth Quarter and Full Year 2019 Earnings Conference Call. With me this morning are Bill Merritt, our President and CEO; Kai Öistämö, our COO; and Rich Brezski, our CFO. Consistent with prior calls, we'll offer some highlights about the fourth quarter, full year 2019 and the company, and then open the call up for questions.Before we begin our remarks, I need to remind you that in this call, we will make forward-looking statements regarding our current beliefs, plans and expectations, which are not guarantees of future performance and are subject to risks and uncertainties that could cause actual results and events to differ materially from results and events contemplated by such forward-looking statements. These risks and uncertainties include those set forth in our earnings release and our annual report on Form 10-K for the year ended December 31, 2019, and from time to time in our other filings with the Securities and Exchange Commission. These forward-looking statements are made only as of the date hereof, and except as required by law, we undertake no obligation to update or revise any of them, whether as a result of new information, future events or otherwise.In addition, today's presentation may contain references to non-GAAP financial measure. Reconciliations of these non-GAAP financial measures to the most directly comparable GAAP financial measures are included in our fourth quarter 2019 financial metrics tracker, which can be accessed on our homepage, www.interdigital.com, by clicking on the link on the left side of the homepage that says Financial Metrics Tracker for Q4 2019.And with that taken care of, I'll turn the call over to Bill.
William Merritt: Thanks, Patrick, and good morning, everyone, and thank you for joining us on the call this morning. I thought I would start with a quick recap of last year, where we see ourselves strategically and then talk about our priorities for this year.The 2019 represented the culmination of a long and productive strategic journey for the company. Starting about 4 years ago, we embarked on a plan to expand upon our successful research-backed licensing model we had built, a model focused principally around cellular wireless technologies. The key ingredient of that model was our focus on standardized technologies, where we could concentrate our energy on incredible innovation and let the industry carry our technology to all the users in a large and valuable market. This was a perfect model for a small company that could not create its own market like an Apple, or overwhelmed one like a Huawei. Instead, our job was to innovate like no other and have the giants and movers and shakers in the industry agree that our innovation was superior to others. And that's what we did, year after year after year, registering industry's world first on 2G, 3G, 4G and 5G technologies and rising to become one of the top contributors to the global cellular technologies.Those first included the world's first digital wireless phone call in 1986 up to a demonstration of working 5G platforms in Barcelona in 2013, seven years before the start of the broad 5G rollout that we see today. That success was driven by the incredible strength of our wireless innovation team, a team that created innovation that is met with broad industry acceptance, similar to much larger organizations and rose to leadership positions voted there by our industry peers.It was also driven by our innovative and reasonable approach to licensing, which embraced flexibility, pragmatism and the willingness to have independent third parties resolve disputes when we and our customers could not. We have always believed our licensing approach led the industry in terms of contemplating -- complementing the cooperative nature of the standards process and delivering the best value for the dollar. This was evidenced in our recent transparency effort, which many of you saw on our website, in our news announcements, where we brought together in a more accessible way a variety of statistics and information around our large patent portfolio, our licensing rates and our licensing philosophy. Much like we have led on innovation, we are an industry leader in terms of our level of disclosure around our licensing practices, of which we are very proud.So when we look to expand our market position, we wanted something that would complement our success. We found that in the research and innovation unit of Technicolor and in the vast portfolio of visual technology patents that it had created. Like our team in wireless, the R&I team is a world leader in advanced video-related technologies. To prove that point, you needn't look any further than the recent Academy Awards, where our R&I team contributed key technologies to the Oscar-nominated films like The Lion King and 1917. The team is incredible, and the two teams combined, wireless and video represent one of the finest research teams in the world focused on these two critical technologies.The licensing and patent management strength of the Technicolor licensing team was also very exciting. Maybe the best way to describe them is to say that when we looked at them, we saw ourselves; skilled, but also pragmatic licensing professionals, who realize that licensing is a return business where the customer needs to believe that the last deal was a fair deal, and that will -- we will treat them fairly and respectfully in the next deal as well.All of that came together in 2018, 2019. And after a period of integration, we end 2019 in an exciting new strategic position. On one side, we have a single R&D engine fueling our mobile device licensing business, a $500 million annual licensing opportunity, driven by our continued wireless innovation and complemented by our new video capabilities. That same engine now also drives what we see as a $150 million a year consumer electronics licensing opportunity, leveraging the strong visual technologies capability of our R&I team, complemented by our wireless technologies. And that same engine will drive added licensing opportunities in IoT and infrastructure.All in, that represents an annual licensing opportunity in the wireless and consumer electronics of about $650 million and beyond $700 million with IoT and infrastructure added in. And we will do all that with essentially flat cost structure, as Rich will discuss. In other words, the cost level before we began this journey.In short, we have built a remarkably valuable research-driven licensing business, unlike any other in the world, unlike product companies that also licensed were not locked into the direction of our product families. And unlike pure -- most pure licensing companies, we aren't limited by what quality IP, if any, we can find for sale. We drive the research where the research needs to go, we see it adopted on a global scale, and we license it to consumers who benefit from that innovation. That is what we do, and we do it very well. And frankly, that is what 2020 will be all about, executing very, very well.That starts with driving revenue from our mobile customers. As you all know, we have faced a challenging licensing environment in China, an environment fueled by the historic reluctance of Chinese companies to license on a consistent basis and the U.S. trade wars, which injected an uncertainty into their businesses. Nonetheless, applying our persistent, pragmatic and innovative licensing approach, we successfully secured a licensing deal with ZTE in the fourth quarter. Our innovative approach this time, combined with other licensors, also resulted in a licensing deal with Google. We also moved forward in other discussions and initiated litigations where we believe the licensing discussions had stalled and our reasonable positions were not being respected.As we enter 2020, we have a robust set of discussions underway. We have litigations we're moving forward on with the balance sheet strength to seek additional enforcement of our patent rights, if needed. We also have the strength of Phase 1 of the U.S.-China trade agreement to leverage and the continued focus of the U.S. administration on protecting IP. We also have very strong R&D capacity that we can offer as additional value to our licensing customers. We are bringing all of that to bear now and expect it to be successful both in driving deals across the line in 2020 and in building a strong pipeline going into 2021.2020 will also be the first year we enter with our new CE licensing business at full operating strength. As you know, we ended the year securing our first digital TV licensee. We intend to build on that result to other licensing successes in 2020. We also have a range of discussions underway with set-top box manufacturers, computer display manufacturers and PC makers. Among the interesting things about this licensing opportunity is that it provides not only product diversity but also geographic diversity as the vast majority of the CE customers we are engaged with are outside China.Our third priority for 2020 is defining our technology direction. For example, while our advanced 5G and now 6G and video-coding efforts will continue in full force, we also see a significant opportunity for new innovation in the areas of artificial intelligence and machine learning, particularly how those technologies are applied into the wireless and video domains.And our last priority will be to finish delivering on the cost management goals we've laid out when we began this journey. Rich will provide more color on the expense side, but in a nutshell, we can see the destination ahead, we are on course to get there, and we expect to arrive on time.So to summarize, exiting 2019 and entering 2020, we're excited by the licensing potential of the company, which now extends beyond our wireless licensing goals. We're focused on new technologies that can expand our footprint in those markets, and we're laser-focused on our expense goals to maintain our full operating leverage.With that, let me turn it over to Kai.
Kai Öistämö: Thank you, Bill. I'll make few remarks about our licensing progress and touch upon our continued technology development. In terms of licensing, we had some success in fourth quarter with two new wireless licensees and a new license in the consumer electronics side of the business, where we continue to see progress.We discussed those wireless licensees in the last earnings call, and we also mentioned the imaginative approach that we took with Google. The approach of partnering with others in the industry is one, which we will continue to examine closely.In January of this year, we also provided the additional information related to our rates and patent portfolio in the wireless area. With that, we are now one of the most transparent companies in our industry, and we feel our rates in relation to the quality and the strength of our portfolio also makes us great value. We think it's a great move that positions us well with our stakeholders and that we hope will contribute to shortening negotiations.Next, let me touch on the consumer electronics license that we signed last quarter. That licensee, Funai is a recognized manufacturer of digital televisions. And subsequent to the signing of that license, we were able to publish the market estimate of $150 million yearly revenue run rate in CE that we hope to achieve in 3 to 5 years.While there's some revenue sharing associated with that, which Rich will describe, I will note that, that run rate would represent a yearly revenue contribution equal to the purchase price of the Technicolor licensing business. So we are very excited about that opportunity. In addition to the consumer electronics, we are very focused on wireless licensing. While trade disputes and now coronavirus have not made things easy in the past 12 months, we are continuing to work very, very hard and among other things, pursuing enforcement of our IP.On the R&D side, with the cancellation of Mobile World Congress, we lost a wonderful opportunity to unveil that we believe -- what we believe are some of world's finest in mobile communications. We will follow-up with the press releases in coming weeks. So I invite you to keep a close eye on our announcements. Our projected demos in Barcelona also included some groundbreaking AI at the edge demos and some fantastic technologies on the imaging science side. On AI, it's such a hot technology that one might think that there's not much room for a company like InterDigital to innovate, but that's not simply the case. There are specific AI technologies we are looking at that intersect with our core research areas of wireless and video, areas where we feel that we are second to none. And while a lot of AI is focused on large-scale applications using significant resources, there is also AI at the network edge or on the device which we have a much lower energy footprint and will be very important going forward. These areas provide us with tremendous opportunity.So to summarize, we are progressing in our licensing efforts, we are excited about the potential of the business we are -- we've added in 2018 and 2019, and we have a tremendous portfolio of technologies where the opportunity to innovate continues.With that, I'll hand over to Rich.
Richard Brezski: Thanks, Kai. Our fourth quarter 2019 results were highlighted by both recurring and nonrecurring contributions from new license agreements we signed in the quarter, including cellular-based licensing agreements with ZTE and Google and a video-based licensing agreement with Funai. Collectively, these agreements contributed over $26 million of revenue in the quarter, including more than $4 million of recurring revenue. These contributions along with another $2 million of nonrecurring revenue associated with true-ups from existing customers and a contract renewal, drove our total revenue to $102 million for the quarter and nearly $320 million for the year.Moving on to expenses. Our fourth quarter 2019 operating expenses increased over third quarter levels but less than expected. The $8 million sequential increase was driven by a $5 million revenue share to our Madison Partners related to nonrecurring revenue and a $3 million increase in litigation expense. The litigation increase was only half as much as we expected, resulting in a favorable variance against our expectations and was due to the initial pace of the proceedings.Excluding these items, our expenses were relatively flat with third quarter levels, and we remain on track to bring our ongoing economic cost metrics back in line with 2017 levels by the end of next year. Looking forward to 2020, we expect first quarter revenue to be in the range of $73 million to $75 million, comprised almost entirely of recurring revenue from our existing agreements. As always, these expectations could change based on any new agreements we may sign during the quarter or true-ups or other nonrecurring revenue from existing agreements.Our Q1 2020 operating expenses are expected to decrease by $3 million to $6 million from Q4 2019 levels, driven by an expected decrease in revenue sharing of more than $4 million. However, there are a number of factors that could impact our Q1 estimates, including the timing and pace of litigation, and any potential favorable expense impact from the ongoing coronavirus epidemic on travel, litigation or other expenses.One final note on the guidance. The operating expense forecast includes less than $1 million of rev share under our Madison agreement, representing less than 25% of our expected consumer electronics revenue for the quarter. As previously disclosed, we see the CE ecosystem as a $150 million top line opportunity. We estimate that roughly 1/3 of that revenue opportunity would be shared with our partners, resulting in a net opportunity for us of approximately $100 million.I'll close with an update on cash and capital allocation. We ended the year with nearly $925 million of cash and roughly $0.5 billion in net cash. In addition to this balance, we have approximately $375 million due to us in the form of fixed payments under existing agreements plus future collections under per unit agreements. As has been the case in the past, we continue to maintain a strong balance sheet, especially while we are enforcing our rights against parties that have been unwilling to pay fair and reasonable royalties for their use of our technology in their products.Having said that, we did repurchase approximately $25 million of stock in the fourth quarter, bringing the total share repurchases for 2019 to nearly $200 million and the total since June of 2014 to over $625 million.I'll now turn it back over to Patrick.
Patrick Van de Wille: Thanks very much, Rich. Todd, if we can now open the call up for questions.
Operator: [Operator Instructions]. We'll take our first question from Eric Wold of B. Riley FBR.
Eric Wold: A couple of questions. I guess, one, this is now kind of the second quarter, I think, in a row where your operating expenses come in well below what you've guided to, even relatively close to the end of the quarter. I guess, what's the biggest variable in that. Is it the litigation expenses, okay? How much visibility do you have in that? And then I know litigation expense is not something typically you want to guide to, but the IP enforcement expenses at $9.2 million in the quarter is the highest in sometime. Obviously, as you move forward in litigation against Lenovo and Huawei in the U.K., how should we think about that run rate going into 2020?
Richard Brezski: Eric, this is Rich. Over the last two quarters, litigation expense was definitely a big part of it. Now it was -- that was really the sole -- the primary driver anyway for the most recent quarter. As I indicated, that litigation increase was only half as much as we expected. And there is -- while we have visibility into the pace as it's moving along, we do rely a lot on outside counsel and folks outside of our 4 walls to do a lot of work and that drives a lot of the expense. So there's a little bit of a lag in terms of collecting the information on how much the pace is actually impacting the expectations.Beyond that and you probably recognize that we historically don't provide a lot of operating expense guidance, but we have been doing that over the last 2 years, because expenses have been fluctuating as we've been integrating the 2 Technicolor acquisitions, which first off is a step-function change to at least initially to bring on this new cost base, but as you know, we have the ongoing cost programs to kind of bring that back in line and then you throw in different onetime integration costs and -- there's a lot going on. So I would attribute part of the third quarter to those areas as well.
Eric Wold: Okay. And then a broader question on the $150 million of licensing revenue projection from consumer electronics in the next 3 to 5 years, any details you can provide kind of behind that in terms of maybe how much of that revenue would come from your existing cellular handset customers? I know when you first made the Technicolor acquisition, you talked about that providing kind of a 10% lift to kind of that core license revenue. And then maybe what makes up the remainder of that in terms of the largest segments, set-top boxes, TVs, et cetera?
William Merritt: All right. So if you look at CE and the $150 million revenue opportunity, the bulk of it is in TV -- I shouldn't say bulk, I'd say a good portion of it is in TVs. And then, if you look at the TV market, your leaders there are Samsung and LG. So you actually -- and this is, I think, one of the real values of the acquisition. It's customers that we know. So it's not -- we have to -- it's not a process of getting to know who we need to call. We already know that. It's also customers that we can have a broader discussion with them. It also gives us an opportunity, for example, with Samsung to have an earlier conversation around a lot of things because there's an opportunity to do that. So I think TV is a good portion of the $150 million, and I'd say a good portion of the TV opportunity is actually customers that we are familiar with. There are other people in that space that are new. We saw like a Vizio would be a new, Funai was a new customer. So it also gives us a larger base as well.If you look at the rest of CE, it's a mix of things. So it's set-top boxes there. I'd say, it's mostly new customers, but there's some folks that would be customers we had before, for example, Huawei is a set-top box manufacturer. You have PC manufacturers. Again, it's mostly new customers, but there's a couple of people that are overlapping there. And then you have other streaming devices, so from sticks and other things that, again, a mix of new and existing customers. So I think the synergy there is great, right, because the fact that some of the folks are ones we know is fantastic because we can move those discussions along at least you have the relationships to do so, but it also expands our footprint on licensing to some new customers as well.
Operator: We'll take our next question from Scott Searle of Roth Capital Partners.
Scott Searle: Quickly to clarify, Rich, in the quarter, what were Technicolor sales or sales related to video intellectual property on a recurring basis? And how should we be thinking about that in the March quarter and the remainder of this year? And also, as it relates to that $150 million TAM, you got some different business models there in terms of revenue share, depending on the end markets. That $150 million TAM, what does that represent in terms of gross profit? And then I had a couple of follow-ups.
Richard Brezski: Yes. So on the first question, recurring revenue from the CE side of the house, was about $3.5 million in the quarter. And that's -- I provided -- included in my expense guidance was a relatively comparable level of CE in the next quarter. There is maybe a little bit of per unit softness we want to protect against, but overall $3.5 million in Q4.As far as the gross profit, so the $150 million kind of opportunity there has a $50 million rev share associated with it. Most of the rev share comes on that Madison arrangement, which addresses the TV and CDM markets. As Bill said, the TV market is the largest portion of consumer electronics. So when you boil all down for the total opportunity, including both the televisions and CDMs and non-CE products at $150 million, we expect 1/3 of that revenue to be shared. I mentioned in the current quarter, it was only about 25%. So that tells you that we're -- we just signed our first TV deal and a lot of the growth will come on that TV side.
Scott Searle: Got you. And if I could, on the China front, just to get some clarification in terms of the exposure there. I know when you look at the recurring revenue base about, I think, in this quarter, 89% is related to fixed fee relationships. So no risk from a per unit variable standpoint. Could you just kind of walk us through your high-level thoughts in terms of exposure to variable impact as we see disruption to supply chains related to the coronavirus? And your direct China exposure, it's fairly minimal, right, with ZTE, and that is predominantly a fixed fee relationship?
Richard Brezski: Yes, I think you nailed that when you said you got 89% of the revenue attributable to fixed sources, fixed contracts. So on the remaining 10%, 11%, is there some exposure? Sure, but it's mitigated by the fact that it's so small relative to the overall revenue base.
Scott Searle: And lastly, just to throw in one quick on 5G. Historically, you've talked about it being an incremental unit opportunity, not an incremental rate opportunity. But when -- under your transparency initiative, publishing the rates, you get a higher royalty on those 5G devices. Could you help us understand, is this a little bit of a change where you see some opportunity for you from a pricing per unit standpoint? Or should we conservatively still think about it as really just being a variable volume-driven opportunity with 5G?
Kai Öistämö: Yes. I think you should think about the 5G units as a multimode handsets. They are not -- very, very few, if any, are going to be a single mode. And typically, if you look at the previous generation shifts, the new -- if you think about the entire stack that provides our licensing opportunity, the value of the earlier generations tends to go down, while the new generation comes up. So I would think about it as kind of a -- as an entire stack rather than the individual technologies, like 5G.
Operator: We'll take our next question from Charlie Anderson from Dougherty & Company.
Charles Anderson: I'll start with a high-level question about China. I think, primarily in the 10-K and some of your prepared comments today, it sounds like still not a ton is known about Phase I trade deal how it relates to intellectual properties. So I wonder if you could just maybe shed any light on how you're interpreting it and how the market is interpreting it in terms of your counterparties in China. And then what do you see as sort of the next steps to potentially unlock that opportunity for you? And then I've got a follow-up.
William Merritt: Sure. So I think the Phase I deal provided certain protections on the licensing of technology and technology is used very broadly in the agreement to include IP. If you think about one of the things that the administration was going after with this requirement in China or the results in China, that things were being licensed on nonmarket terms, forced terms, inappropriate terms and the agreement goes after that specific item. And again, I think it was -- it's a broad definition of technology that would include licensing of IP on nonmarket in appropriate terms. So I think that's where we can -- that's a good bit of protection that we have built up, which, I mean, our view all along has been we're perfectly fine with -- very comfortable with the rate structure that we have. So comfortable that we published it. We said these are our rates. And if someone wants to challenge that, perfectly comfortable with a fair, independent third-party setting the rates. And that, we think is -- that position is very consistent with what the trade agreement is advocating as well.So I think we've got that backstop, Charlie. So the other part of the trade agreement is the mechanism then by which you enforce that. And that's one where the processes on the 2 sides of the Pacific need to be established, but there is a requirement that they be established. So that will provide a process. And then last, it, we believe, takes the dispute from an individual company to company dispute, it brings it up to the country to country level, which we actually think is a way to level the playing field. So all in, obviously, there's more work to be done there, but we -- and that work is prescribed within the trade agreement. But we think it was a very good step forward, and we appreciate the work done by the administration on delivering what was one of their big promises was to stop this forced or inappropriate technology transfer.
Charles Anderson: Great. And then, Rich, a question on expenses. I know in the past, there was a commitment to get expenses, I think, it was kind of the 2018 level. I wonder maybe if you could just update us on those plans and sort of the time line to return to the lower expense level.
Richard Brezski: Yes, sure. It's actually 2017 levels and -- but you are right. And as I mentioned in the comments, we're absolutely on track to do it. In fact, we updated, if you go to the website and look at our financial metrics, I think, we last posted this maybe a year ago, the Q4 rate there. So that ongoing economic cost is 47.2% for the quarter. That's actually in line with where we would hope to end up, but it's aided by lower comp accruals for the moment. So we'd like to be able to -- I say it this way, we feel like we have more work to do as expected, and we expect to continue that over the course of the next year and exit this year with the levels that we intended to achieve.
Operator: [Operator Instructions]. We'll take our next question from Matthew Galinko with National Securities.
Matthew Galinko: So I guess, first one, you might have touched on this earlier, but just given that you have, I think, LG expiring in 2020. Curious if you could give any thoughts on whether that could be rolled into a renewal on the handset side and the consumer electronics dealer? Would you generally consider those things to be dealt with separately?
Kai Öistämö: Yes. So we certainly kind of give the opportunity for ourselves and the customer as well to deal it jointly, if they so wish. But we are prepared to do it separately. Again, kind of different companies may deal this in different ways, depending on how they are structured and how they think about their own business between the handsets and the consumer electronics.
Matthew Galinko: All right. And then, I guess, on the machine learning effort that you talked about in the prepared remarks. Did that ultimately get represented more as product that you look to kind of spin-off or not operate? Or is that an IP like thing effort? And I guess, if it's the latter, can you frame sort of how that plays against some of the changes to how the U.S. looks at software IP that we've seen over the last few years?
Kai Öistämö: Yes. So obviously, it's an opportunity in both. But it kind of -- we think about it as a standardized technologies as the standards evolve in kind of anything like a video coding or wireless are not immune for new technologies and AI is kind of a great opportunity to rethink some of like, if I take an example on a video coding, how the video coding should be done. And we take a perspective that the future standards will include AI components. And depending on when, like, and time more or less, but then that will be embedded in the kind of the future video standards and wireless standards. And then so far on the standardized technologies, the monetization would remain exactly like what we have been doing right now. And potential on the product side, I think that's too early to speculate at the moment.
Matthew Galinko: Got it. All right. Last question. I appreciate all the color. It's been not too long since you launched the transparency site. Curious if you've had any notable response from the industry? Or if there's been anything inbound since you rolled that out?
William Merritt: So I think it went as planned. And I think to some extent, the information was already available in the market. It wasn't easily accessible, because they had to go to different places, and we brought it all together. I think we had good news coverage out of a number of very, very incredible high-profile IP-centric publications that spoke positively about the effort. I think my reaction from the counterparts that I deal with is they actually feel like it's a -- it addresses some of the industry concerns, not saying that some of those concerns were actually valid. I mean, I actually think this been this issue around, do these conversations happening in the dark, is there something nefarious going on. I mean, there's not. These are typical business discussions, and they will, as a matter, of course, happen in a confidential way, but we just wanted to say, this is the nature of the conversations and there's -- and it's a very straightforward conversation.So I think it's overall helpful both with our licensees because now they -- the extent they didn't have a full understanding, they have that now. They know what their competitive position will be vis-à-vis others. This is also not -- this is not a set of rates that represent no history and just a forward-looking way we're going to go. This is our licensing history. And so people, I think, can be more comfortable in knowing that when they sign a deal that they understand their competitive position vis-à-vis deals that not have -- may not have yet signed up. In terms of regulators who are looking at this space, they're trying to size up what the appropriate level of the stack should be. We have a very now solid benchmark they can look at because our current statistics are known, our rates are known and people can do math and they can kind of scale that up to what a value in the market for the stack should be. It will be useful in court because I think anytime you're in court, you always want to be, as I think we've always been upstanding player and the fact that we have a very transparent process is a very good fact that we can point to. So all good so far, and I expect it to continue to be good.
Operator: We'll take our next question from Eric Wold of B. Riley FBR.
Eric Wold: Just a quick follow-up. Just wanted to get kind of just your updated view on kind of what's been happening over the past few months around kind of the general IP enforcement landscape, especially kind of with regards to the U.K. court's FRAND pricing kind of as you move forward as Lenovo and Huawei and just kind of how you think your position there.
William Merritt: Right. So obviously, we're still waiting on the Unwired Planet position out of the U.K. That will be, as I've mentioned, Eric, to you before and others, the U.K. is positioned as a good efficient place right now to have a single case defined a worldwide rate. We think it's a completely logical and fair approach consistent with the cooperative nature of the standards. That said, if we were to go a different way, that doesn't mean we have to start from square one. We're still entitled to enforce our patents in the U.K. We'd still be entitled to an injunction in the U.K. if someone wasn't going to pay fair rates there. There's other jurisdictions that we can go to as well.So overall, the -- since their last conference call, there's been issuance by the DOJ in the U.S. in a paper that basically rejected a prior position in the U.S. on standard essential patents and established a new -- and again, I'd say, right down the middle, very fair position. And that is that -- the prior position was that the standard essential patents were somehow kind of like a second class set of citizens when it came to patents that you weren't entitled to a lot of the rights that you would otherwise have for patents. That was completely rejected by the DOJ and the patent office. They basically said, it's just like any other patent, and you're entitled to the same amount of remedies for this patent as for other patents. That is actually -- it sounds really simple. It is, in essence. But it's very powerful because now -- I'll give you an example. If you're in front of the ITC with respect to the standard essential patent. Previously, there was a question, will the ITC actually enforce that patent at the end of the day because of the policies of the government? Now I would say, absolutely. Well, it's just like any other patent.So I think to the extent that there were jurisdictions in the U.S. that were a little bit more shaky on SEPs, I think, they're on very, very solid ground today. There's work underway in other jurisdictions around SEPs. We're not seeing anything -- there's an active dialogue. We're very much involved in that. I think people are much more balanced ultimately in their views, not to say you don't have extreme views that still get articulated. But certainly, the direction of the IP landscape and particularly that related to SEPs, I think, has been moving in a positive direction, and I continue to see that going on.
Operator: We have no further questions in queue. I'll turn the call back over to Patrick Van de Wille.
Patrick Van de Wille: Thanks very much, Todd. Thank you for everyone for joining us today. Just a note, we have a couple of investor conferences coming up in March. We'll be at the ROTH Conference in Laguna Niguel, and we'll also be at the Sidoti Conference in New York. So looking forward to meeting some of you there. Thanks, and see you next quarter.
Operator: Thank you for your participation. This concludes today's call. You may now disconnect.